Operator: Good day and thank you for standing by. Welcome to the Imperial Petroleum Third Quarter and Nine Months Financial and Operating Results Conference Call. At this time, all participants are in listen-only mode. Please be advised that this conference is being recorded. I would now like to hand the conference over to your speaker today, Harry Vafias, CEO of Imperial Petroleum. Please go ahead.
Harry Vafias: Good morning, everyone, and thank you all for joining us for our third quarter and nine months '24 conference call. I'm Harry Vafias, the CEO of Imperial Petroleum. And joining me today is Fenia Sakellari who will be discussing our financial performance. Before we commence our discussion, we would like all of you to read the Safe Harbor disclaimer on Slide 2. In essence, it's made clear that this presentation may contain some forward-looking statements as defined by the Private Securities Litigation Reform Act. We raise the attention of our investors to the fact that such forward-looking statements are based upon the current beliefs and expectations of Imperial Petroleum and are subject to risks and uncertainties which could cause future results to differ materially from these forward-looking statements. In addition, before we commence our discussion, we would like to clarify that during this call, we will quote all monetary amounts unless explicitly stated, all in US dollars. Turning to Slide 3, we're summarizing our operational and financial highlights for the third quarter and nine months '24. The third quarter of this year was quite satisfactory in terms of profit when taking into consideration that market deteriorated in comparison to the first half of this year. Indeed, prevailing rates for both product and suezmax tankers declined in Q3 '24, mostly driven by seasonal factors and geopolitical uncertainties, thus creating an unexciting market environment. Market weakness is evidenced by our low quarterly operational utilization of 65.6% which was further burdened by a drydocking of a product tanker and a minor incidence of our product tanker, the Magic Wand. The vessel remained idle for the whole quarter. Within this market of declining rates, we did manage to end the quarter with close to $11 million of profit. Our daily time charter equivalent of 22,000 declined compared to the previous quarter by 37%, nevertheless remain at same levels compared to the same period of last year. Actually, when excluding non-cash items, our profitability improved compared to Q3 '23 by $6.4 million equivalent to a rise of 142%. What we deem as remarkable is our solid liquidity position as we ended the third quarter with about $200 million in cash, while our operating cash flow for the nine months period of '24 amounted to $68 million. Our zero debt position lowers our breakeven and assists us to maintain the profitability even when the market weakens further. On Slide 4, we are providing a summary of our current fleet employment. Almost half of our fleet is under time charter employment. As customarily our three handysize bulk carriers are under short time charters, while two of our product tankers are under time short employment up until January '25 and August '27 respectively. Overall, looking at the market, spot rates for product tankers have declined when compared to the first half of '24. The typical seasonal decline in rates was this year compounded by uncertainty over demand, refinery runs, US elections, and OPEC decisions. As of the end of Q3 '24, market spot rates for product tankers were 57% lower than in Q2 '24, while for Suezmaxes, spot rates declined compared to the previous quarter was in the order of 30%. We currently see a cautious upward trend in product tanker rates driven by increased cargo flows as we enter into the winter season. On Slide 5, we are reviewing the tanker market. After the strong market witnessed in the first half of the year, tanker rates have slipped since the start of the third quarter due to seasonal factors. Indeed, global oil demand growth slowed in the third quarter relative to Q2 '24, while global tanker ton mile demand fell 4.8% this quarter. The third quarter of '24 was affected by various atypical factors, the most crucial of them being the slump in Chinese oil imports, which decreased 730,000 barrels per day due to the deterioration of the Chinese property crisis and the adoption of non-oil transport fuels. Moreover, we witnessed low Middle East crude exports due to the seasonally high domestic consumption in the region along with reduced refinery runs. Also, the dark fleet has become larger and more efficient than last year, as a result, Russian premiums have gone down and some of the largest mainstream owners previously involved in legal Russian business have reduced their Russian activities and returned to the normal market. This has put increased pressure also on the freights of the normal market. In Q4 '24 we have not seen any material improvement in rates. However, expectations are that the seasonal effect of -- and the end of the refinery maintenance season will eventually push the market up also this winter, but we don't expect to reach the same rates as last year. Going forward, OPEC has pledged to move forward with this voluntary cut unwind, which is anticipated that this would boost cargo flows by 3 million barrels per day in '25 thus raising tanker rates. On Slide 6, we comment upon tanker market fundamentals. The tanker fleet is seeing a record low growth rate in '24 with escalating deliveries expected in '25 and '26. It's worth noting that the new building additions in the coming years are less than the long run average growth rate of about 6.5%. Both the MRs and Suezmaxes have an aging fleet. It is expected that about 20% of the product tanker fleet will be above 20 years of age by '26, while 15% of the Suezmaxes is above 15 years of age. Depending on how geopolitical tensions and supply cuts will affect the market in the long run, strong fundamentals create the expectation that the tanker upcycle might last for the forthcoming years as capacity remains constrained. In addition, taking into account the high new building prices, it's also expected that the new tanker zone orders will remain limited. On the drybulk market, Q3 '24 earnings for handysize bulkers remained fairly flat, mostly affected by the slowdown of the Chinese economy. Chinese steel production was weak in Q3 '24, marking an 8% year-on-year decline. However, there was an 18% year-on-year growth in Chinese steel exports. Looking ahead, two primary risks to drybulk demand are the unwinding of extra ton miles and a Chinese economic slowdown, potentially worsened by US tariffs. I'll now pass the floor to Ms. Sakellari in order to summarize our financial performance.
Fenia Sakellari: Hello. Let us discuss our financial performance in Q3 '24 compared to the same period of last year. As mentioned earlier on, we marked a sound profitability amidst an unfavorable and uncertain market environment. Looking at our income statement for Q3 '24 on Slide 7. Revenues came in at $33 million in Q3 '24 compared to $29.4 million, a 12.2% increase compared to Q3 '23 due to an increase of our average fleet by 1.3 vessels and better performance of our product tanker as three of our product tankers underwent drydocking in the third quarter of 2023, thus incurring significant idle time due to technical reasons. As mentioned earlier on this quarter, our idle time was hindered by the drydocking of one of our product tankers, along with a minor incident of one another product tanker both events adding to idle time and undermining revenue. Voyage costs amounted to $13 million, increased by $0.4 million compared to the same period of last year due to expenses incurred in connection with the EU emission allowances in order to meet our obligation arising from the CO2 emissions as a result of the new EU regulations entered into force starting from January 1st, 2024. Running costs amounted to $7.2 million, increased by $1.1 million due to the increase of our fleet. EBITDA for the third quarter of 2024 came in at $12.2 million while net income at $10.1 million, corresponding to an EPS of $0.29. On an adjusting basis, that is, excluding non-cash items, our adjusted net income for the period was $10.9 million, marking a 142% increase compared to Q3 '23. For nine months, EBITDA came in at $52.8 million and adjusted net income excluding non-cash items at $15.6 million. Moving on to Slide 8, let us take a look at our balance sheet for the nine months of 2024, we enjoyed high liquidity. As of September 30, 2024, our cash, including time deposits were in the order of $200 million. The majority of available cash is currently placed under time deposits yielding interest income. For the nine months '24 period, income from time deposits amounted to about $4.5 million, $2.1 million earned only in Q3 '24. We also enjoy a flexible capital structure governed by high liquidity, zero debt, and minimum liabilities, placing us in an advantageous position to weather any market conditions. Proceeding to Slide 9, we provide a snapshot of our strong fundamentals such as dynamic profitability as our net profit margin is in excess of 30%. We have a robust cash flow generation. In the nine months of 2024, we generated close to $68 million of operating cash flow. Going forward, the key considerations are the future of geopolitical tensions and the impact they will have on the tanker and broader shipping market overall. Concluding our presentation with Slide 10, we summarize yet once more Imperial Petroleums' strengths. We feel that our strong financial performance in recurring profitable quarters is a solid proof of our argumentation as to why we believe Imperial Petroleum is worth investing in. At this stage, our CEO, Mr. Harry Vafias will summarize our concluding remarks for the period examined.
Harry Vafias: In spite of an unexciting and seasonally weak quarter, Imperial Petroleum was yet again profitable. Our adjusted net income this quarter was up 141% compared to Q3 '23 and our cost increased by about 60% compared to the end of the same quarter last year. Since the beginning of the year, we have generated a net profit of close to $46 million, with a fleet of only 10 vessels. Apart from our ongoing profitability, our financial strength is shown by our cash of about $200 million in conjunction with zero leverage. Market was volatile and weak during Q3 and still remains unknown how future geopolitical tensions will affect the tanker and broader shipping markets overall. We would like to thank you for joining us today at our conference call and for your interest and trust in our company. And we look forward to having you with us again at our next conference call for our fourth quarter results. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.
End of Q&A: